Operator: Good morning and welcome to YRC Worldwide's Third Quarter 2018 Earnings Call. All participants will be in listen-only mode. After today's presentation, there will be a question-and-answer session. Please note this event is being recorded. I would now like to turn the conference over to Eric Birge, Vice President of investor relations. Please go ahead.
Eric Birge: Thank you, operator and good morning everyone. Welcome to YRC Worldwide's third quarter 2019 earnings conference call. Joining us today on the call are Darren Hawkins, Chief Executive Officer; Stephanie Fisher, Chief Financial Officer; and T.J. O'Connor, Chief Operating Officer. During the call, we will make some forward-looking statements within the meaning of Federal Securities laws. These forward-looking statements and all other statements that might be made on this call, which are not historical facts, are subject to uncertainty and a number of risks, therefore, actual results may differ materially. The format of this call does not allow for us to fully discuss all of these risk factors. For a full discussion of the risk factors that could cause the results to differ, please refer to this morning's earnings release and our most recent SEC filings, including our Forms 10-K and 10-Q. These items are also available on our website at yrcw.com. Additionally, please see today's release for a reconciliation of net loss to adjusted EBITDA on a consolidated basis and operating income and loss to adjusted EBITDA on a segment basis. During this call, we may refer to our non-GAAP measure of adjusted EBITDA, simply as EBITDA. In conjunction with today's earnings release, we issued a presentation, which will be referenced during the call. The presentation was filed in an 8-K along with the earnings release and is available on our website. I'll now turn the call over to Darren.
Darren Hawkins: Good morning everyone and thanks for joining our third quarter earnings call. I will start with YRC freight as I'm proud of the progress they made in Q3, even with continued softness in the economy, and slide moderation and yield improvement, they reported year-over-year increases in both operating income and operating ratio, which resulted in the best third quarter operating income in over 10 years. These improved financial results were achieved largely due to the labor contract efficiencies from box trucks that resulted in a significant decrease and local purchase transportation expense and through increased land haul efficiency along with discipline cost control across all areas. Concerning our regionals, operating results deteriorated due to depressed volume levels, which were particularly acute in the Midwest Rust Belt, along with the labor disruption in the automotive sector, where we have regional exposure and that did not help the last two weeks of the quarter. Our ability to leverage the operational flexibilities obtained from the labor contract for the regional companies has been hampered due to these muted volume levels, while labor costs have increased. We will continue to remain disciplined with cost control measures to balance capacity with asset and resource utilization needs, while also continuing to focus on improving our density through network optimization, which should lead to improved operating performance from our regional network. 2019 has been a challenging trade environment all year long, but also a productive year for YRCW. As we look beyond Q3, our path forward is defined and currently well underway with our multiyear strategy. We have cleared the hurdles of the ratification of a new five-year labor agreement, providing us more stability and flexibility and an improved capital structure with our refinance term loan. Additionally, we implemented an enterprise-wide sales and operations leadership structure, while clearing and extending the runway for network optimization across all brands. These changes are intended to drive asset and property utilization, while building density and creating efficiency across multiple productivity measures. With the focus on greater efficiencies, we have completed 12 consolidations of service centers, and we are on track to hit our goal of approximately 25 service centers to be consolidated by the end of the year. As I've mentioned, this just scratches the surface of the effort and we will continue to enhance our network through terminal consolidations for the next several quarters. In closing, while our network optimization strategy helps offset the weak demand environment we are experiencing and Q4 cost controls will continue to be a primary focus until these conditions improve. I would like to thank our 31,000 employees for their commitment to safety and dedication to getting the right things done to modernize all of our companies. I will now turn the call over to Stephanie to share more details around our financial results.
Stephanie Fisher: Thank you, Darren, and good morning, everyone. For the third quarter 2019, YRC Worldwide reported consolidated revenue of $1.26 billion, which is down from $1.3 billion, or 3.6% when compared to prior year. Operating income for the third quarter was $23.8 million compared to operating income of $41.2 million in the third quarter 2018. Additionally, the company reported adjusted EBITDA of $65.9 million for the third quarter 2019 compared to $84.2 million for the prior year. For the trailing 12 months, adjusted EBITDA was $240.8 million, compared to $288.8 million in 2018. Turning to the operating stat. YRC Freight reported third quarter 2019 year-over-year LTL tonnage per day was down 4%, which is due to a 3.5% decrease in LTL shipments per day and a 0.5% decrease in weight per shipment. Additionally, year-over-year LTL revenue per hundredweight, including fuel surcharge was up 1.7% and LTL revenue per hundredweight, excluding fuel surcharge was up 2.8%. Finally, year-over-year LTL revenue per shipment, including fuel surcharge was up 1.2% and up 2.3% when excluding fuel surcharge. Moving to the regional segment. The third quarter 2019 year-over-year LTL tonnage per day was down 3.6%, which is due to 3.9% decrease in LTL shipments per day as weight per shipment was flat year-over-year. Additionally, year-over-year LTL revenue per hundredweight, including fuel surcharge, was down 0.8%. And LTL revenue per hundredweight, excluding fuel surcharge, was flat. Finally year-over-year LTL revenue per shipment, including fuel surcharge, was down 0.4% and flat when executing fuel surcharge. The YRC Freight third quarter results indicate that even in this depressed volume environment, they've been able to take advantage of some of the operational efficiencies and absorbed the increased labor costs. For the regional companies, on the other hand, the depressed volume environment has diminished their ability to fully leverage the operational efficiencies from the labor contracts, specifically as it relates to utilizing lower labor costs opportunities. On a year-over-year basis revenue for the regional companies decrease $27.9 million, and wages and benefits expense increased by $8 million when compared to third quarter of 2018. Going forward, we will continue to be disciplined to grow the right freight at the right price and increase our efforts around cost reduction throughout the network, based on current volume trends. Additionally, we will continue to focus on the network optimization efforts as those efforts will provide additional cost reduction opportunities to reduce miles, increase density and reduce facility costs. Even with the benefits expected from network optimization, cost control measures identified over the last couple of quarters. And the progress we have made on some of the operational efficiencies from the labor contract, volumes will still be the ultimate determining factor in our ability to achieve the $60 million to $80 million of margin expansion in 2020. Moving to the balance sheet. Darren, mentioned we recently announced the refinancing of our term loan agreement. Our new term loan provides additional liquidity less restrictive covenant, 100 basis point decrease in interest rate and an extended maturity to June of 2024. In conjunction with a new term loan, we recognize an $11.2 million charge related to the extinguishment of our prior term loan, which negatively impacted our ETFs by approximately $0.34 per share. Regarding liquidity, our cash and cash equivalents and managed accessibility at September 30, 2019, was $150.1 million, which is a decrease of 52.7 million compared to December 31, 2018. And it's comparable to liquidity levels we reported in June. We use approximately $41 million in cash to invest in revenue equipment and technology during the third quarter. One final note, as it relates to fourth quarter, similar to what we experienced in 2018. We expect to recognize the non-union pension settlement charge ranging from $8 million to $10 million during the fourth quarter of 2019 based on projected lump sum for the remainder of the year. This settlement charges is a non-cash charge and will not impact our adjusted EBITDA. In closing, as we move beyond Q3, we will continue our focus on the implementation of a multi-year strategic plan. All the while ensuring we have appropriate cost control measures in place to manage through the current macro economic environment, position ourselves for margin expansion in 2020. I'll now turn the call over to TJ.
T.J. O'Connor: Thank you, Stephanie, and good morning everyone. As you heard from Darren, YRC Freight had a solid quarter. This quarter operating income was the best in over 10 years. We have benefited from operational efficiencies negotiating our recent labor contract. This includes the new box trucks language, which has allowed us to reduce the use of expensive local purchase transportation for cost control measures contributed to improved operating margin despite sluggish volumes. I want to talk a bit about our regionals. Our new labor agreement provides higher wages and flexibilities and new jobs classifications and these are necessary to be competitive in the market. However, with a depressed volumes, our ability to fully leverage the use of these flexibilities has been restricted in the short term. Year-over-year average wage has increased at the regionals, while revenue has decreased with the volumes. We are prepared for increased demand. However, current conditions require continued use of strict cost control measures. As it relates to our operational efficiencies of our labor contract there continues to be solid interest in our new non-CDL box truck driving positions. We are now operating approximately 250 box trucks. These company drivers provide a reduction in the use of expensive local purchase transportation, while improving our service to customers. Another exciting new offering is our next day service in Texas. YRC Freight has expanded its service offerings in Texas. As we transform our network and optimize our operations, we can now offer next day service through our velocity Center in San Antonio. This allows for greater one time service with less handling. This is just another example of opportunities from network optimization and the benefits it delivers to our customers. In order to increase efficiencies and serve our customers, we have developed and deployed a new operations structure. This structure leverages our most experienced and talented build management leaders from all of our brands. The area and division managers are responsible for multiple operating company brands within their assigned geography. We are leveraging best practices from all brands, including the regional next day model. In fact, the speed and flexibilities of the regional service models at Holland, New Penn, and Reddaway remain a core fundamental in our network optimization. All of our brands will remain strong and vibrant in their respective markets. Holland, New Penn, and Reddaway all provide great value to our customers. This best-in-class regional LTL companies, and then the size, scope and endless capabilities of YRC Freight to go anywhere in North America, as well as our newest company, HNRY Logistics. Thanks for your time this morning. We’d now be happy to answer any questions that you may have.
Operator: Our first question will come from David Ross with Stifel.
David Ross: Good morning everyone.
Darren Hawkins: Hello, David
T.J. O'Connor: Morning.
David Ross: First, I guess talking about YRC Freight, it seem to buck the train in terms of weight per shipment. Everybody else is complaining about a drop in weight per shipment and you were showing not only up year-over-year, but also up sequentially. Any colour on that?
T.J. O'Connor: Well, David this is T.J. good morning. I think there was some influence from truckload traffic in that mix that drove the weight per shipment up, and that's the result of our non-asset based HNRY operation.
Darren Hawkins: Yeah, if you look at the LTL only slightly down, and then including HNRY Logistics and the success we've had in the truckload, focus with HNRY Logistics, it makes it look quite different on the total.
David Ross: I see. And I guess, can you – I guess, walk through, how the tonnage or shipment trends went through the quarter and what you're seeing in October for both the YRC Freight and YRC Regional?
Darren Hawkins: Sure.
Stephanie Fisher: Yes, sure David. Good morning. It's Stephanie. So for YRC Freight and this is LTL tonnage-only. July was down 3.3%. August was down 3.6%. September was down 5.3%. And then October was down 4.1%. For the Regionals, LPL tonnage, July was down 1.5%. August was down 4.4%. September was down 4.5%. And then October is down 6.2%.
David Ross: And now that the strike is over, would you expect that October number to improve in November and December?
Darren Hawkins: Yeah. Good question, David specific to the Regionals and our largest regional carrier. The toughest part of the freight economy that we've seen is in the Midwest that was even before the automotive labour disruption that we experienced the last two weeks of the quarter and then the majority of the month of October. So I do expect a slight improvement in the Midwest, but overall, the Midwest was overall down more than any area of the country for us. So that'll continue to be something we keep an eye on, but it certainly helps that we've got labour disruption out of the way and then also the news from most recently that other OEMs are getting contracts lined up, that should prevent further disruption.
David Ross: Excellent. Thank you very much.
Stephanie Fisher: Thanks David.
Darren Hawkins: Thanks David.
Operator: The next question comes from Jack Atkins with Stephens.
Jack Atkins: Darren, Stephanie, T.J. Good morning. Thanks for taking my question.
Stephanie Fisher: Hello Jack.
Darren Hawkins: Hello Jack. Thanks for joining.
Jack Atkins: Absolutely. So, so just a couple things here. Stephanie, your comments around $60 million to $80 million in accretion related to the new labor agreement. You said that that is ultimately dependent upon being able to drive volume next year, and I guess as you sort of think about A, what's been captured so far, that $60 million to 80 million, if there's a way to sort of quantify that and B, if the economy doesn't improve next year, does that $60 million to $80 million number change? And can you help us sort of think through how that would look?
Stephanie Fisher: Yeah, so a couple different things Jack. As it relates to the $60 million to 80 million, as T.J. mentioned in the prepared remarks, the box truck program is actually benefiting where C grade and we're seeing that move along nicely. We expect to continue to get benefit from that box truck movement, really coming from reduction and local card to spend. That was about $5 million specifically for the quarter. We expect that to continue as we move forward into 2020. So, that's something that will absolutely carry into 2020 and be part of that $60 million to 80 million. As we think about the other pieces, the other pieces of the pie were some wage classification, reduction in wages from classification of workers and casual workers that we have. Obviously, those kinds of items take additional volumes to come into play. So those could be at risk. But I think the other thing that will help us in 2020, as we think about our five year strategic plan is the network optimization. And as we continue to consolidate service centers, which we've done 12 to-date, thus far and expect 25 by the end of this year, and likely another 25 in 2020, we'll see some of those cost savings start to roll into 2020 as well, which will also help be part of the $60 million to $80 million. But to your point earlier, could the $60 million to $80 million come down? It could, depending on what happens with volume levels as we move into 2020.
Jack Atkins: Okay, got it, got it. And then just thinking about all the different puts and takes here. I mean, you guys are clearly executing on what you can control which is the operational efficiencies and the network optimization. There's more to go there moving into the fourth quarter from the third but you have headwinds related to some things at the regional subsidiaries. So, you know, I guess historically, we tend to see EBITDA decline a little bit 3Q to 4Q but you know, obviously there's some cost opportunity there sequentially. How are you guys thinking about, you know, EBITDA in the fourth quarter relative to the third, I'm not asking to give guidance, just kind of directionality given, given the different moving pieces that are out there right now.
Stephanie Fisher: Yeah, Jack, with the demand still being weak, we are obviously considering that as part of the EBITDA equation for 4Q. But the other part of that equation is the reductions that we can make from our salary, wages and employee benefits perspective in the fourth quarter. So we will work to make sure that the workforce matches the volume levels that we have. So, you know, we still expect Q4 to have a decline from Q3. But we'll manage that through Q4, with our salary, wages and employee benefits, expenses.
Darren Hawkins: And Jack, this is Darren, you'll see the stringent cost control continue until we see conditions improve even throughout Q1. You know, as we look at this, when we look at what's played out this week with many other public companies announcing and giving us all some much needed information about what's happening in October, we will keep cost control at the top of the list like we always do. And certainly network optimization is good timing for that cost control, because it's not only building density and the network. As we've taken these -- as we're on track to take the 25 terminals out that we've already guided through for this year, and then we'll immediately start working on the next 25 right after that, it also eliminates down to cost in our network. So, as we're in an uncertain economy moving forward, network optimization will be ahead up to our cost control, focus.
T.J. O'Connor: And Jack, it’s T.J. If it’s helpful the – Stephanie referred to the box truck savings through the contract efficiencies, I said, we had about 250 box trucks currently in operation. The savings per box truck versus using expensive cartridge or purchase transportation, which is outside purchase transportation is about $12,600 per month.
Q – Jack Atkins: Per Truck
T.J. O'Connor: Per truck.
Q – Jack Atkins: Wow. Okay, got you. That is definitely substantial. Well, one last thing, Stephanie. I'll turn it over just an housekeeping item. Can you kind of help us think through go forward interest expense under the new credit agreement?
Stephanie Fisher: Yeah, so it should be approximately, I think about 14 million to 15 million on a quarterly basis.
Jack Atkins: Okay, perfect. So 14 million to 15 million from the – from the new credit agreement in terms of P&L interest expense, what just for our models, what should we -- what should we be pulling in there?
Stephanie Fisher: Should be the same.
Jack Atkins: Okay, got you. Okay. Great. Thanks very much.
Darren Hawkins: Thanks, Jack.
Operator: The next question will be from Jeff Kaufman of Loop Capital Markets
Jeff Kaufman: Thank you. Good morning, everyone, and congratulations.
Darren Hawkins: Hi. Hello. Thank you.
Stephanie Fisher: Good morning, Darren.
Jeff Kaufman: Couple of questions. Number one, there have been some other folks that have talked a little bit about the strike at GM. And I think what we've heard is about two weeks impact to the third quarter and about three and change weeks impact to the fourth quarter. Can you help us parse out how this affected I'm going to assume mostly column, but your regional subs?
Darren Hawkins: Yeah, certainly there was an impact and percentage their from mainly Tier 1 supplier groups as we do have heavy exposure to the automotive sector through our largest regional carrier. Other than the last two weeks of the month, I’ve had a negative impact on tonnage. And then working through that in October, which was already a challenging freight environment even without that added piece, but it was noticeable. But also overall when we look at where the regionals landed in October from a negative tonnage environment, I think if you know, compare to August and September that was more normalized than October and I think that's, you know, kind of the metric to look at moving forward is 4.4 to 4.5 decline.
Jeff Kaufman: Okay, thank you. And looking at the regional subs, it appears seeing some of the benefits of the new labor contract at YRC fray and look like a pretty decent quarter on metrics there. Why do you think the regionals are struggling so much more than the YRC, right now? I mean, even relative to other regional trucking companies, it seems that the regional division whether I am looking at it on a on a yield basis or on a tonnage basis, this doesn't seem to have the traction the rest of the market does. Could you help me understand maybe what might be going on under the hood?
Darren Hawkins: Yeah, you bet Jeff. And think about when we started negotiating our contract, it was ratified in Q2 of this year, we started a year before that, and our focus, you know, this time last year, our largest regional company was actually using price to turn down business on a daily basis. So as we were negotiating, we certainly put together a competitive wage package that through ratification. And just as we ratified, we saw the bottom drop out of tonnage across the industry, not just at our regional companies, all other national company. That was an industry event that we've seen for several quarters now. And those contract benefits for the regional companies were really targeted toward growth. We have -- as T.J. mentioned in his earlier comments, the service at the regionals is really good. It's a market leading service. And we had those companies position for growth, although the economy just didn't cooperate. And because of that, fortunately, we were down the road on our network optimization efforts, which will increase the density into the regional networks and allow us to start capturing these contract benefits once we're improving density on the individual regional lines and they're linked to Hall and that's the target of network optimization. So certainly in a tough spot with the regional, but we've got good cost controls in place. We will continue those. And the plan we have moving forward, absolutely build density in the network through network optimization, reduce the service centre footprint. And through all that we don't -- we also enhance the service and on-time delivery standards to our customers, none of those deteriorate through this process.
Jeff Kauffman: Alright switching gears, can you give us an update on Henry kind of how that's moving along? I know you're not comfortable giving a kind of an annualized revenue run rate, just to give an idea of where the sizes. But how is Henry growing and how is it doing?
Darren Hawkins: Yeah, I'm excited about Henry Logistics. We don't break those out. But certainly with David's question earlier around tonnage, you see where you know total tonnage that when NYC freight number that’s starting to be a noticeable impact in a positive way. So Henry Logistics, they've got a unique value proposition because they've got the power 4 well known LCL asset brands behind them and because of that we've been able to continue growing our truckload business even through a very tough spot market in the truckload sector. So we're very happy with the way our shipments have grown. Much like what you've heard from other brokerages this week and last week that have reported, our revenue per shipment has came down. Our margins are solid through that process, but because of the revenue per shipment dropping, our overall revenue impact in 2019 is less than we originally were talking about. We're on track for that $140 million to $150 million range and Henry Logistics were earlier we had reported a little stronger growth, but revenue per shipments, the only impact there the number of shipments – and basically doubling the business year-over-year is something we're still very proud of.
Jeff Kauffman: All right, thank you. And then one last question for Stephanie, and then I'm good. Stephanie, you called out the $1 million loss on the real estate sales, the $11 million impact to the debt agreement. It looked like kind of looking through the back pages of the release, there was a vendor bankruptcy impact that that looked to be a benefit. And then I was wondering whether there were any, what I would call, unusual costs that you absorbed related to the New Penn headquarters.
Stephanie Fisher: Yeah. So we did have a severance charge that happened in September as we closed the New Penn headquarters. That was very actual minimal, as that was only about 70 employees in total. You're right. You just see the impact of the vendor bankruptcy that was actually some recovery that we got in the third quarter from the vendor bankruptcy that we talked about earlier in the year and actually had written off some receivables in that space as well. So, those two things are probably the only two kind of unusual things on a quarter basis that I would call out.
Jeff Kauffman: Okay. Well, congratulations and thank you.
Darren Hawkins: Thank you.
Stephanie Fisher: Thank you.
Operator: The next question will come from Scott Group with Wolfe Research.
Scott Group: Hey. Thanks. Good morning, guys.
Darren Hawkins: Hey. Good morning, Scott.
Stephanie Fisher: Good morning, Scott.
Scott Group: Can you give us the pricing renewals in the quarter, and then just more broadly, just talk about how you see the pricing environment and sort of your focus if it's more tonnage, more price. How you're thinking about it?
Darren Hawkins: Scott, I'll start with that one. As far as our contract negotiations and Q3, 3%, and that was true at the regionals and YRC Freight, if you average those contracts specifically.
Scott Group: So, does it feel like that the pricing environment is getting more challenging, and you think that's more the whole market? Is it more of a focus on tonnage, you guys couple of things about that?
Darren Hawkins: Yeah, certainly. Of course as you saw, the regionals flat from a yield perspective, although very strong comps from last year, as they were tracking over 8% and then YRC Freight tracking a little better than that. Our contract renewals, we have over 1,000 of them in Q3. I would classify those renewals as very stable pricing environment. When most of these big renewals that we're reporting out and you're dealing with 60,000 origin and destination payers, as you price these. So, specifically with a New Penn foot brand or Reddaway foot brand or National foot brand, there's lanes that we're targeting and going after that have a very solid contribution to our network. So there's puts and takes and wait for shipment land haul and all those pieces as you look at the revenue per hundred way to impact, but from a profit impact and what we see. And also, as we referenced YRC Freight strong quarter, a lot of that came from land haul efficiencies and we credit good accurate pricing, and then the use of our dimension or is to make sure we're verifying what enters our network on a daily basis. So overall, feel good about that. I think the longer we're in a negative tonnage environment. I think one of your recent notes said that, the industry had been in a negative tonnage environment for 12 months now. And Scott, I think the longer that continues, we see pressure in this area, but from an LTL perspective, it appears to me very stable, OR focus is on pricing for profit and using internal costs controls to weather the storm until we get back into a more normalized tonnage environment.
Scott Group: Okay. Thanks. Are we in any way, ready yet to put any numbers around these 25 terminals in terms of the cost savings?
Darren Hawkins: Well, I believe from Stephanie's comments and where we're going with at the 25 that we're completing, just over the next several weeks, and then we're on track and we'll have consolidated by December 31 that's going to go into that $60 million to $80 million number that we put out there for 2020. Previously, I was talking about those in two separate buckets, but with what we see from a continued week demand environment. We will use network optimization in conjunction with our labor efficiencies, to make sure that we're moving the company in the right direction and we're getting that margin improvement overall that we've been signaling through this multi-year strategy that, I believe is the only course where the company is the right course for the company. And that's where my confidence comes from is that this is well laid out, our path is defined and regardless of what the economy's doing, we will focus on those areas and use cost controls to make out the difference.
Scott Group: Just so unclear the – if you do another 25 next year, which it sounds like you're going to – you're planning to do with that then be added it to the $60 million to $80 million or do you think you need another 25 next year to get you to the $60 million to $80 million?
Darren Hawkins: Now, I would classify that as additive, through that process, we're the 25 we've got under our belt. We've got the next 25 teed-up. We will immediately start working on those. And you know, as I think through that, from a 2020 perspective, and you look at a national footprint involving our regionals and YRC Freight, you know, somewhere around 320 terminals total and our terminal count by the end of 2020, would be pretty good target in my mind.
Scott Group: Okay, just along these lines last quarter, you would talk to about 25 million of headcount savings as well. That was also separate from the 60 to 80. Is that still separate? Or is that now getting lumped into the 60 to 80? Would you say?
Stephanie Fisher: Yeah. So that's still separate. And that's an annualized run rate. So, that's the reductions we took from new pin, from non-union headcount that we took out earlier in the year and those types of things. So, that's an annualized number that will roll into 2020.
Scott Group: Okay. And then, just last question, Stephanie. The -- so I think, the new covenant is 200 million of EBITDA.
Stephanie Fisher: That's correct.
Scott Group: And we're at 240. But we have a pretty big number coming out of the calculation in fourth quarter 2018. How are you thinking about flexibility, if you need it? Do you think you need it?
Stephanie Fisher: Yeah. So we don't think we need it. The demand environment being weak, we are managing costs very tightly. And with the reductions that we can get from a salary, wage and employee benefit perspective. Here in the fourth quarter, we think we will be in compliance.
Scott Group: I just want to make sure I'm not missing something. If we just keep EBTIDA flat and fourth quarter versus third quarter. It doesn't like 40 million of EBITDA drop off.
Stephanie Fisher: So that's already factored out of the 240 million. Because the gains and losses don't necessarily don't count in the new EBITDA definition. So that 30 million that we got from the property sale and the fourth quarter last year, that won't count towards this.
Scott Group: Okay, so what was the real EBITDA number last year?
Stephanie Fisher: It was like 75 million.
Scott Group: Got you, okay. Okay, that makes sense. Okay. Thank you, guys. I appreciate the time.
Darren Hawkins: Hey, thanks, Scott.
Operator: This concludes our earnings call. I would like to turn the conference back over to the company, for any closing remarks.
Darren Hawkins: Thank you, Operator. And thanks again to everyone for joining us today. Please contact Eric with any additional questions that you may have. This concludes our call. And operator, I'm turning the call back to you.
Operator: Thank you, sir. The conferences concluded. Thank you all for attending today's presentation. You may all disconnect your lines. Have a great day.